Operator: Good afternoon, and thank you for standing by. Welcome to Grove Collaborative Holdings, Inc. Third Quarter 2024 Earnings Conference Call. At this time, all lines have been placed on mute to prevent any background noise. Following the speakers' remarks, we will open your line for questions. As a reminder, this conference is being recorded. Hosting today's call are Grove's CEO, Jeff Yurcisin; and CFO, Sergio Cervantes. Before they begin their prepared remarks, I'll review the forward-looking statements safe harbor. Some of the statements made today about future prospects, financial results, business strategies, industry trends and Grove's ability to successfully respond to business risks may be considered forward-looking, including statements relating to plans to exit the retail channel. Delivering higher returns by focusing its investments in DTC, sequential revenue growth in the fourth quarter, repayment of remaining amounts outstanding under their term debt facility and their net revenue and adjusted EBITDA margin guidance. Such statements are based on current expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to differ materially, including those factors discussed in the filings with the Securities and Exchange Commission. All of these statements are based on Grove's view today, and Grove assumes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise, except as may be required under applicable securities laws. For more information, please refer to the risk factors discussed in Grove's most recent filings with the SEC, which are available on Grove's Investor Relations website at investors.grove.co. During today's call, Grove will discuss certain non-GAAP financial measures. Reconciliation of these non-GAAP items to the most directly comparable GAAP financial measures are provided in their earnings release, which is also available on their Investor Relations website. I would now like to turn the call over to Jeff Yurcisin to begin.
Jeff Yurcisin: Thank you, operator. I'm excited to share progress and updates with you all today on the turnaround underway at Grove. I've now had the privilege of leading this remarkable team for over a full calendar year and continue to be proud of the work we're doing to not only build the destination for our conscientious customers, but to also serve as the trusted brand that prioritizes both environmental and human health. We are still laser-focused on operating a sustainable business in pursuit of our sustainable mission. And we're making essential progress on our priorities of fostering revenue growth, driving profitability, strengthening our balance sheet and highlighting our differentiation as the retailer that creates and curates products that are good for you and good for the planet. Let's dive into updates on our four priority pillars. Starting with pillar number one, profitability. This quarter saw us breakeven on adjusted EBITDA with four previous consecutive quarters of positive adjusted EBITDA, demonstrating our commitment to profitability in spite of a revenue decline. We also achieved positive operating cash flow again this quarter, marking the fourth quarter we have done so out of the last six. Contributing to the positive operating cash flow, we reduced our inventory position from $27.8 million at the end of Q2 2024 to $24.5 million at the end of Q3 2024, further rightsizing our ownership for the current scale of our business. And lastly, we continue to optimize operating expenses by maintaining strict expense discipline, including relocating our fulfillment center operations in Reno, Nevada, which is now fully up and running and helped us to avoid a significant rent increase in our previous facility. We're continuing to identify other areas to increase operating leverage in our ongoing transformation. Our second pillar is balance sheet strength. This quarter, we announced an additional $15 million investment from Volition Capital on top of the $10 million they invested in August of '23. The transaction was led by Volition's managing partner, Larry Cheng, who also sits on our Board of Directors. We plan to pay off the remaining $30 million of our outstanding term debt facility using proceeds from the investment, which follows the $42 million voluntary payment we made during the third quarter. After paying off the term debt, our only debt remaining would be $7.5 million under our asset-based loan facility, enabling a cleaner balance sheet going into 2025. The third pillar is revenue growth. We view revenue growth as the natural output of delivering a great shopping experience. This is our top priority going forward. As a retailer, the Company we keep speaks volumes about who we are. Our customers shop with us because they trust us to curate those cutting-edge brands and products that have high-quality, nontoxic ingredients and sustainable packaging to support both the environmental and human health. Our selection expansion continued in the third quarter with the number of third-party brands sold on our e-commerce platform increasing by 18.3% compared to the third quarter of 2023. We also expanded our Subscribe & Save program with 67% of all products we offer now opted in for customers to subscribe to and unlock a discount. We're continuing to listen to our customers to meet their needs, bringing on the brands and products they want across every category. Furthermore, based on the cumulative changes made, overall progress underway and strong momentum going into the end of the year, we continue to project sequential revenue growth in the fourth quarter of 2024, which would be a first for the Company since the first quarter of 2022. And lastly, pillar number four, sustainability. This continues to serve as our foundation, mission and point of differentiation. This past quarter, we made the decision to expand our definition of sustainability to better encompass environmental and human health in how we talk about growth, our value proposition and the needs of our customers. There is a growing amount of coverage linking microplastics to negative human health outcomes on top of the environmental crisis we find ourselves in today. We aim to have a louder voice in these discussions as we build our sustainable brand and serve our customers who are concerned about both sides of sustainability. We will speak more to this in future calls. During the quarter, we also launched the Beyond Plastic Impact Tracker, an exclusive new tool that helps customers better understand their individual impact by shopping with Grove. The amount of plastic avoided and recovered is now disclosed in each customer order and over the lifetime of their Grove orders since 2020. The Grove community has avoided and recovered 24.5 million pounds of plastic, the equivalent of over 808 million standard water bottles since 2020. We also disclosed our latest plastic intensity metrics in our earnings release this afternoon to continue providing accountability for the pace at which we decouple our revenue from the use of plastic. Transitioning to another strategic update. We have begun the process of exiting our Grove Co-branded products from brick-and-mortar retail locations nationwide by early 2025. We first entered brick-and-mortar stores in April of 2021 to make our mission-driven Grove Co products more accessible to consumers. But after 3.5 years in this channel, it constitutes less than 4% of our business and has been consistently unprofitable. We believe that we can deliver higher returns by focusing our investment in our D2C channels. We're incredibly grateful to our retail partners for the opportunity to test and learn with them, but we believe we can best serve the 57 million conscientious consumers online. We've learned that these consumers are different from the brick-and-mortar customers with a higher household income and who seek a premium curated selection and experience. We believe this D2C customer segment is healthy and growing and gives us ample runway for growth into the future while also playing a meaningful role in our customers' lives. Lastly, before I turn it over to Sergio, as noted in our press release today, we reduced our revenue guidance for the second time this year. Looking back at 2024, we were too optimistic in light of the changes we made to our e-commerce experience throughout the year. Brick-and-mortar retail has also underperformed expectations. While we continue to be excited about and proud of the progress we have made and where we are headed, we slightly reduced our revenue expectations for the rest of this year based on current trends. Again, we still expect sequential revenue growth in the fourth quarter, but at a lower baseline than we originally anticipated, and we remain focused on achieving sustainable, profitable growth as our ultimate goal. Since I joined in August of '23, we have gone through each function of the business to optimize what we're doing to make impactful and strategic changes to set Grove up for ongoing success. We have implemented many critical updates and are excited to start seeing the results of these changes. Our cumulative progress excites me for everything to come in both the near term and long term. I will now turn the call over to Sergio to review our financial results in more detail. Sergio, please go ahead.
Sergio Cervantes: Thank you, Jeff. I'm also happy to see the progress we have achieved in the transformation of growth so far. Similar to previous calls, I will provide quarter-over-quarter comparisons in addition to the year-over-year changes as we continue to believe the sequential comparisons reflect the trends in the business and provide a measure of effectiveness of the steps we have taken to help position ourselves for long-term sustainable and profitable revenue growth. Starting with the top line, net revenue was $48.3 million in the third quarter, down 7.3% from the second quarter of 2024 and down 21.8% year-over-year, mainly due to fewer repeat orders and lower advertising spend throughout 2024 compared to prior years. This decline was also impacted by a $0.8 million markdown to brick-and-mortar retail revenue. However, as we look toward the fourth quarter, we are encouraged by the gradual stabilization of revenue from repeat customers, which is a significant factor in our continued confidence that we will see sequential revenue growth. Total orders were $0.7 million in Q3, down 3.3% quarter-over-quarter and 22.8% year-over-year, while active customers were also 0.7 million, down 4.8% quarter-over-quarter and 30.4% year-over-year, both of which were influenced by reduced advertising spend relative to prior periods. However, the sequential decline has slowed as our customer base stabilizes in the aggregate and advertising spend has increased to support our initiatives. As a reminder, we define active customers as those customers who have placed an order in the last 12 months. DTC net revenue per order was $67.02 in Q3, down 1% from Q2, but up 2.7% year-over-year. This sequential decline was driven by a higher percentage of first orders, which have lower average net revenue per order. The year-over-year improvements reflect an increase in the average number of units per order, particularly of third-party products as well as favorable product mix and strategic price increases. Gross margin was 53%, down 80 basis points from the second quarter of 2024, mainly due to the retail markdowns mentioned earlier. Year-over-year, gross margin decreased by 80 basis points as well due to the elimination of customer fees and lower product margins as a higher proportion of revenue shifted towards third-party products. Growth brand products as a percentage of net revenue decreased to 38.5%, down 260 basis points quarter-over-quarter and 630 basis points year-over-year, mainly due to the expansion of third-party product offerings, which is a key part of our growth strategy. As we increase our emphasis on expanding third-party assortment, we plan to stop sharing this metric after the fourth quarter of 2024 as it is no longer a critical input to our growth and strategy moving forward. Advertising expenses increased 15.6% in the third quarter compared to the second quarter, but decreased 30.6% compared to the third quarter of 2023 to $2.8 million. The sequential increase is mainly due to an increase in DTC specific advertising as we invest more in the channel due to improving first order conversion rates, offset by a decline in brick-and-mortar retail advertising. Although advertising is still lower year-over-year as we remain disciplined and scale spend efficiently. Product development expense decreased 11.7% quarter-over-quarter, but increased 34.2% year-over-year to $4.8 million. The sequential decline is due to severance costs recorded in the second quarter. The year-over-year increase is due to accelerated depreciation costs. Both were driven by our decision to transition our homegrown e-commerce platform to Shopify technology. SG&A expense decreased 8.8% quarter-over-quarter and 16.7% year-over-year to $24.7 million. The quarter-over-quarter decline is mainly due to the $2.2 million restructuring charge incurred in the prior quarter, lower fulfillment costs from fewer orders and lower stock-based compensation expense. The year-over-year decline is driven by lower fulfillment costs, also from fewer orders and savings, mainly from reductions to personnel, facility, professional fees and technology costs. The sequential and year-over-year decline were partially offset by $1.2 million of costs associated with the moving of the Company's Reno fulfillment center in the current quarter to a lower cost facility. Adjusted EBITDA was breakeven this quarter compared to $1.1 million in the second quarter of 2024 and $0.2 million in Q3 2023. In spite of the revenue headwinds, we maintained strict expense discipline across the organization. Lastly, operating cash flow was $0.8 million, marking our fourth quarter of positive operating cash flow in the last six quarters. In addition to expense discipline, we continue to make progress improving our working capital, particularly reducing our inventory, which has been a source of cash for the last several quarters. Turning now to the balance sheet. We ended the quarter with $55.6 million in cash, cash equivalents and restricted cash, down from $82.6 million in Q2. The $27 million decrease reflects our recent $42 million voluntary prepayment of term debt, partially offset by a $15 million investment from Volition Capital, which enabled us to pay off the remaining term debt. We also ended the quarter with an inventory balance of $24.5 million, down $3.3 million quarter-over-quarter, mainly driven by a reduction in Grove branded inventory as we continue to improve our inventory ownership position. Now turning to our outlook. For the fiscal year ending December 31, 2024, we are maintaining our adjusted EBITDA margin guidance at 0.5% to 1.5%, but we are revising our net revenue guidance and now expect 2024 net revenue to be in the range of $200 million to $205 million, a change from $205 million to $215 million guidance we gave previously. We continue to prioritize strict margin and expense discipline, underscoring our commitment to a sustainable and profitable growth model. We are excited by the stabilization in our aggregated customer base, and we look forward to driving sequential revenue growth in the fourth quarter of this year as we continue our transformation into 2025 and beyond. I would now like to turn the call back over to Jeff for some closing remarks.
Jeff Yurcisin: Thank you, Sergio. I've worked in e-commerce for over two decades, and it excites me to know that Grove is getting back to the fundamentals of direct-to-consumer, centering our customer in everything we do, building a brand that is meaningful in their everyday life and reaching them through channels that are strategic and efficient. We want to create that emotional connection and loyalty so that we truly matter in their life, which comes from understanding their needs and meeting those needs, not from being an omnichannel company. We've made fantastic progress going back to basics on our business fundamentals, brand building, e-commerce experience and curated selection. We have plenty more to do, but these turnaround efforts are essential for building the foundation for our new company and setting ourselves up for sustainable, profitable growth. With that, we're happy to answer any questions you have. Operator, please open the line for questions.
Operator: Our first question comes from the line of Susan Anderson with Canaccord Genuity.
Alec Legg: Alec on for Susan. Just a question on the digital transformations announced last quarter. I guess any update there? Is it still on track? And then with the transition over to Shopify, have you seen any uplift with the digital tools that they offer?
Jeff Yurcisin: We are still guiding towards sequential growth. And sequential growth for us is really significant. it implies that profitable and year-over-year growth is around the corner. That is clearly our ultimate goal. So what we've seen is with this transformation, our cohorts are stabilizing, and we're starting to get the right type of economics on advertising that you will see us continue to lean into advertising when it makes sense. This could create a fluctuation in quarterly EBITDA going forward. But again, the long-term focus is profitable growth. The second part of your question is Shopify. We announced the Shopify migration, but we don't expect to be fully on the platform until early Q1. We are really excited about what that will enable. But right now, what we're trying to do is to make sure that as we transition to Shopify, we maintain a customer experience that really resonates with the loyal customers who have been visiting Grove and shopping with us over the years.
Alec Legg: Got it. And I think you mentioned fourth quarter for sequential growth. And I think the guidance kind of gives some leeway there. I guess what are the puts and takes that need to happen to get that sequential growth in fourth quarter? What needs to work and what could be some potential headwinds?
Jeff Yurcisin: Yes. Mike, if you were to dig into the numbers, Alex, you'll see that we've just -- the brick-and-mortar has been a real headwind. It was a headwind if you look at our quarter-over-quarter growth even in Q3, where we believe the quarter-over-quarter decline was pushed by about 300 to 330 basis points of pressure from the brick-and-mortar channel. The same type of pressure could exist in Q4 in terms of brick-and-mortar not fully hitting the expectations that we had when we set this out. But they're going to be offset by a D2C business that is that we believe in that is working. We transformed this business, obviously, a little over six months ago. We now have a new acquisition model, a new offering to our customers. As one of our Board members describes it, we have a new scene where we can have a specific offering serving our customer segment that is differentiated from everyone else. And what you'll see is when we see that scene working, we will continue to lean into advertising and you'll even see some of that lean in, in the Q3 numbers.
Alec Legg: Got it. And then just a follow-up on the exiting of brick-and-mortar. I don't know if you're able to say, but you have a time line, I think you said early 2025 of when you stop selling in. I guess, how to think about how that might impact the overall P&L? I think you said you said 330 bps of gross margin headwinds in the quarter. Is that a good number to kind of base?
Jeff Yurcisin: Sorry, the 330 bps were more of a quarter-over-quarter year-over-year growth impact, less on the gross margin line. Look, I think the idea that we are struggling on brick-and-mortar shelves and still guiding towards sequential growth is the real signal and the exclamation mark that I would make. When we start talking about 2025, we'll give more clear guidance in our next earnings call. But we really do want to emphasize that profitable growth is our ultimate goal. And so if you were to think about the brick-and-mortar channel, if we really are growing in 2025, then our D2C business has to be strong enough to offset any brick-and-mortar type of losses and/or we may find the right type of acquisition targets. We've talked in the past how M&A could still be a great possibility for us. We believe there is this scene, this 57 million conscientious customers who are looking for planet-first type of products that are natural and environmentally friendly. We think we're differentiated from almost everyone else in the space, and we believe this can serve as a real platform going forward. So there -- we always kind of talk about M&A being on the table. But the key here is in terms of brick-and-mortar, we expect to be able to be growing and profitable and is the ultimate goal. And to do that, we would have to offset the brick-and-mortar with...
Alec Legg: That's really helpful. And then one quick one and then one kind of question heading into the holiday about the health of the consumer. But the quick hit just silly when will you still be selling on Amazon? And then the follow-up is, I guess, the health of the consumer heading into the holiday. Your DTC platform is pretty interesting in that you get a lot of first-party data, so you can see if consumers are trading up, trading down, what their habits are. Have you seen any consumers trading down to lower cost items?
Jeff Yurcisin: Great question. On Amazon, we don't see the brick-and-mortar strategy impacting our Amazon strategy going forward. So we intend to be on Amazon. In terms of overall macro trends with consumers, if you look at our AOV, average order value, you will see that we have been able year-over-year to offset changes offset the supply chain fee that we removed from every order with an increase in AOV. What that signals is that our customers are actually moving up. And I think the other big emphasis that I would highlight would be when you look at our D2C customer, it is a woman who has a household income of $100, $150,000 plus. And so that customer is different a bit than the customer on that's shopping brick-and-mortar shelves. And so we just are quite confident that we can meet that customer that she has the disposable income, that she cares about product that is good for her family and for the planet. And we think we're going to be the right ones to serve her and enable that.
Operator: There are no further questions at this time. I'd like to pass the call back over to Jeff for any closing remarks.
Jeff Yurcisin: I want to thank everyone again for joining our call. Hope you have a great night. Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.